Operator: Good evening, and welcome to the Eastside Distilling Reports Second Quarter 2021 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Paul Block. Please go ahead
Amy Brassard: Thank you. Good afternoon, everyone, and thank you for joining us today to discuss Eastside Distilling's financial results for the second quarter 2021. I'm Amy Brassard with Eastside Distilling, and I'll be your moderator for today's call. Earlier, Eastside issued second quarter 2021 financial results in a press release. Joining us on today's call to discuss these results are Mr. Paul Block, the company's Chairman and Chief Executive Officer; and Mr. Geoffrey Gwin, Eastside's Chief Financial Officer. Following their remarks, we will open the call to your questions. Before we begin with prepared remarks, we submit for the record, the following statements. Certain matters discussed on this conference call by the management of Eastside Distilling may be forward-looking statements, within the meaning of Section 27A of the Securities Act of 1933 as amended, Section 21E of the Securities Exchange Act of 1934 as amended and such forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The forward-looking statements describe future expectations, plans, results or strategies and are generally preceded by words such as may, future, plan or planned, will or should, expected, anticipates, draft, eventually or projected. Listeners are cautioned that such statements are subject to a multitude of risks and uncertainties that could cause future circumstances, events or results to differ materially from those projected in the forward-looking statements. Such matters involve risks and uncertainties that may cause actual results to differ materially include, but are not limited to, the company's acceptance and the company's products in the market, success in obtaining new customers, success in product development, ability to execute the business model and strategic plans, success in integrating acquired entities and assets, ability to obtain capital, ability to continue its growing concern and all the risks and related information described from time to time in the company's filings with the Securities and Exchange Commission, including the financial statements and related information pertaining to the company's annual report on Form 10-K for the year ended December 31, 2020, filed with the Securities and Exchange Commission. Now with that said, I would like to turn the call over to Geoffrey Gwin. Geoffrey, please proceed.
Geoffrey Gwin: Thank you, Amy, and good afternoon and welcome to our second quarter earnings call. We reported our numbers after the close and we have a lot to discuss. So I'd like to pick up with the theme that we've been discussing all year, and that is fixed, build and grow. While in late 2020 and early 2021, we were in the fix and build stage, in the second quarter we were in the growth stage albeit early despite reporting results that have us lapping at the beginning of the pandemic in 2020. As we reported in the first quarter, we closed the Redneck Riviera termination and asset purchase agreement, and Redneck has now been accounted for as a discontinued operation. For those details on that presentation, please refer to the 10-Q. For the second quarter, we reported revenue of $3.6 million, a decline from $3.8 million reported in the same period in the prior year. Now it's important to remember both our Portland Potato Vodka business and Craft Canning had very strong performances in the early Q2 of last year. The beginning of the shutdown of the on-premise dining in the Pacific Northwest drove these businesses to great results last year. And notwithstanding this tough comparison, spirits had a great quarter. Spirits had an increase in volume of 12% and 17% increase in the revenue for the current quarter. During the quarter, we sold a total of 9,327 9-liter equivalent cases compared to 8,299 in the prior year. And this increase was driven by Azunia and Burnside. And Burnside in particular reported strong volumes with an 18% increase in 9-liter volumes over the prior year. Now remember Burnside, unlike Azunia performed well in 2020, so we're particularly excited about this strong performance in Q2. Our Eastside brands began their rollout in Q2, but that didn't have a significant impact on the volume in the quarter. Portland Potato Vodka was down 4% on volume, still a strong showing when considering it was up 20% last year in the second quarter, Azunia's volume performance was driven by the return to on-premise dining, and that was better than expected. Now, if you recall, we've been working to reposition Azunia and to improve the gross margins and we are pleased with the results of this quarter. In the second quarter of last year at the beginning of the pandemic, Craft customers scrambled to source cans and secure every available Canning line to move beer production to cans from kegs, and we were key beneficiary of that trend last year, but Craft continues to win new customers this year that division saw sales 17% lower than last year as we lap that tough comparison. Consolidated gross profit for the quarter was $1.1 million compared to $1.4 million in the prior year's second quarter. Gross margins were largely impacted by supply chain pressures at Craft Canning, while service margins were strong; our sales of consumables were significantly lower as well as the margins we captured there. Now we've we have seen supply chain pressures in every segment of our business, not just Craft. We responded with an announced price increases and expect to capture margin in the back half of the year. Now, below the line, OpEx expenses continue to improve quarter-over-quarter and this quarter we saw a 22% reduction in SG&A. And these results flow through into an improvement in EBITDA and we reported a loss of $1.1 million compared to a loss of $1.2 million in the prior year second quarter. But adjusting for restructuring charges and those are one-time severance expenses, professional fees, and non-cash compensation adjusted EBITDA was a loss of $706,000 for the quarter, a 26% improvement over the prior second quarter and another sequential improvement from Q1 of this year. Now let's turn to the cash flow and the balance sheet. We continue to improve our liquidity position and ending the quarter with $1.1 million in cash. In Q2, we refinanced $2.3 million in maturities with a new convertible note and we finalized the Azunia earn-out at $15 million and moved the balance owed to intersect, approximately half that amount to a long-term liability. This treatment lowered the dilution impact on our shareholders. And subsequent to the end of the quarter, we had 900,000 warrants funded, adding an incremental $2.4 million of equity to the balance sheet. We are happy to report we are in the process of finalizing the amendment, extending the Live Oak maturity out to mid-October and we anticipate we'll be refinancing that ABL facility with a similar facility in the near future. Now, all these actions on the balance sheet are designed to improve the liquidity position of the company, limiting dilution to shareholders, and most importantly putting gas in the tank for growth. The company recently announced its three three-year strategic plan and has already made key capital investments to drive the rapid growth of gross profit dollars and Paul will talk about that shortly, but before we hand it over to Paul, I want to briefly address the balance of the year and our outlook. At the beginning of the year if you recall, we had said we expected a strong year with revenue growth to be about 22% year-over-year, excluding Redneck Riviera. While sales of spirit is on plan, we have work to do at Craft. We have a close the gap plan in place at Craft, and we'll see how we execute that plan. We do expect to be up in sales at the end of the year. Now at the beginning of the year, we also said we had significant improvements. We thought we could see significant improvements in gross profit, up 50% and better SG&A, down 23%. We are on track to deliver the SG&A improvements for the year, but the targeted gross margins will be harder to achieve this year. Gross margin performance will be driven by second half performance of expanded distribution of spirits, Eastside's new products, price increases and better performance at Craft. And we do expect gross margin improvements of this magnitude, but they will take more time. With these results – while these results are important and reflect the improvements we are making, I believe the most important news to share are the details around the new strategic direction of the company. We have an outstanding management team, which is finally in place and it has a plan in hand, and that plan is designed to drive significant gains across all our financial metrics. And now with those details of the quarter out of the way, I will turn it over to Paul. Paul?
Paul Block: Thank you, Geoffrey, and good afternoon, everyone. As we conclude the second quarter and the first half of 2021, I believe we have about 90% of the company turnaround behind us, as Geoff had mentioned. But turning the ship has been particularly difficult to Eastside due to the lack of liquidity, high cash burn rate, competing interest and the wrong people in the wrong place. While we still have a few things to fix and build, we're ready to shift our focused growth. I do have a few Q2 results that I'd like to mention that we are particularly proud of. The first one is achieving a current cash balance of $1 million as of June 2021. Actually, for the team, this is a significant accomplishment, in part due to good operational management, but really, it's due to the extraordinary efforts of our CFO, Geoffrey Gwin, along with the unwavering support of Bigger and District 2 capital fund. The second improvement we're very proud of and that we reported in our Q2 and half year results is improving the current ratio from December 2020, which was at 41% to June 2021 at 128%, which is an extremely big change for us. The reason for this ratio improvement is the substantial reduction of recurrent liabilities via the settlement of the Azunia earn-out, the restructuring of the notes payable and the reduction of the Live Oak credit facility. Again, recognizing the great effort of our CFO, Geoff, and our stakeholders. The third area that we're proud of is increasing stockholders' equity from December 2022, which was a negative $1.1 million to June 2021 that was a plus $8.7 million. This was primarily achieved by securing relief from our PPP loan, converting debt-to-equity and income from discontinued Redneck Riviera operations. And lastly, we're very proud of growing EBITDA 270% year-on-year, which was negative $3.8 million as of June 2020 and as we reported now, a plus $1 million, June 2021. This was primarily achieved via net income from discontinued R&R operations and lower loss from operations overall. So four areas that I just want to mention that we're extremely proud of. When I started as CEO about one year ago, in July 2020, I was optimistic about the prospects for Eastside. While the path to success and the obstacles ahead were not clear, I could see the possibility and the opportunity to stabilize operations and begin to build value. Now one year later, despite the impact of the COVID pandemic and the plethora of obstacles that we've had, I'm even more excited about the potential of the company, primarily because the path forward is clearly delineated, and we now have a specific and realistic three-year strategic growth plan. In addition to the one-year turnaround, mostly behind us and a clear three-year plan, we have the right people in the right place, and most importantly, we have you. We have our stakeholders that are very supportive of the team and our plan forward. And more than the financial support itself, I can't emphasize enough how much management appreciates moral support and the expressed confidence in the team and in our future. Your desire to see us win is very motivating. And I can assure you; this type of support can propel the team to deliver extraordinary results as we execute our three-year plan. So with one year complete, I'd like to share how I see the business and how you might think about the business. Obviously, the market is not static. And with COVID ups and downs, as Geoffrey mentioned, the dynamics and challenges are more significant than ever. So we must set a clear course, learn very fast as we compete in a hyper-dynamic market, be flexible to change rapidly and most of all, focus on execution and deliver the plan. For our Spirits division, while, we have work to do, I believe we're now on the right course. Since our Q1 call, our VP of Spirit Sales, Ray Wetzel, has taken the helm, he immediately recruited two sales industry managers, one in California and one in Arizona. He built a new pricing model by brand by state that will guide our sales team and our distributors forward. He stopped all the low cost discounting that was destroying profit. He focused his team on six states, four brands and 20 SKUs. With only two months in the new role, Ray and his team achieved disproportionate results in their second month at the helm in the month of June. So June, specifically, was reported sales up 19%, the Spirits gross profit up 26% and operating expenses down 28% for the month compared to June 2020. As we speak today, Ray is making distributors changes in the State of Texas that will expand our brands from one to four and are SKUs from six to 20. Janet Oak, who you all know, our Chief Branding Officer is now partnering with Ray to execute a three-prong approach to building our four brands, which we've discussed and include engaging consumers at the point of purchase with point of sale, targeting micro community events to sample products and link consumer experiences; and three, build brand champions primarily through social media. Most recently, to round out the spirits team, we just recruited Joe Ibrahm to spearhead all of our spirit supply chain. Joe will work with Ray and Janet as we continue to produce the highest quality spirits products to explore, select new products and as we streamline the supply chain to optimize efficiency. Joe will be building our distilling capability along with purchasing the finest product for blending and barrel aging. In addition to being a head winemaker for E&J Gallo, Joe has also been an extraordinary distiller. He's a superior executive with a depth of industry knowledge across the supply chain. Eastside is very fortunate to have Joe as a new team member. So despite a bit of a soft start for spirits, revenue in the first half of 2021, the team is now in place, the course is set, and the growth will accelerate in the back half of 2021. And the next step for spirits is to ensure we maintain adequate cash to execute the plan. So switching over to Craft, for the Craft C&B division, the environment for manufacturing and supply chain has changed in a rapid manner, limiting our double-digit growth plan in the first half, as Geoffrey mentioned. For the specialty and Craft Canning industry, one of the biggest issues has been can supply and can cost. For the west coast mobile canning industry in general, capacity demand has been consistent, capacity utilization had shifted from less larger runs to smaller run. Craft revenue has increased due to the higher price charge for the smaller runs, but has been offset by lower revenue generated by each of the small run. As Geoff mentioned, first half Craft profit was impacted by lower can margins and the increased downtime between smaller runs. The team has since taken action to raise can prices mid-2021 to improve margins and to increase service revenue with new customers in the back half to mitigate lower revenue from smaller run. So clearly, the overall solution for Craft as described in our three-year plan is the pivot. Pivot from a single mobile canning business serving small Craft brewers in the micro beverage market to end-to-end canning solutions serving small, medium and large customers in the micro beverage market. Now as we mentioned in the three-year plan, the primary driver of this end-to-end strategy will be expanding craft capability into digital craft printing. Canned printing solves a number of issues for the customer. First, it's uniquely recyclable, where plastic sleeves and other labels are not. Second, it eliminates the need for label application on the line, which will increase efficiency and reduce bottlenecks. Third, the graphic quality is comparable to a large batch silkscreen cans. And finally, it can be customized to any size order. Craft management estimates that 80% of our current craft mobile customers preferred digital printing option, and they moved to digital printing, which could amount to 8 million cans and significant incremental revenue per can. In addition to serving our own mobile customers, the opportunity to print cans are other beer, wine, RTD and seltzer beverage customers is significant. The Craft team believes one can printer at capacity cad produced 24 million cans and generate over $5 million in revenue. The second driver of the Craft strategy is the addition of a pasteurizer at a fixed can facility. Because the pasteurizer is so larger, a mobile option is not seasonable. The immediate revenue from pasteurized can products could exceed $5 million in the near term. Eventually, we believe one fixed facility can generate $20 million in revenue overall. With three strategic pillars in place in our three-year plan for craft, printing, fixed and mobile; Craft can expand well beyond the current mobile beer customer base and potentially exceed $50 million in revenue, as outlined in the three-year plan. Now, a big part of the three-year plan will be accessing additional shares, and we appreciate your vote to approve the incremental shares on the proxy statement. The three-year plan only requires the use of five million to seven million shares, with the remaining 13 million to 15 million shares on the shelf and available for highly accretive acquisitions. We believe Craft can generate strong cash flow with a portion of the cash flow allocated to spirits and the remaining allocation to debt and debt reduction. The two business units are highly complementary and together and combined, we believe, can accelerate value. We really look forward to discussing this in more detail with you. And if you're interested to discuss the three-year strategic growth plan further, we encourage you to contact Amy Brassard and she will schedule time with Geoffrey and I. Again, we thank you very much for your interest through and your support, and we'll now open the line for questions.
Operator: [Operator Instructors] Your first question comes from Bjorn Ng with 10X Capital. Please go ahead.
Bjorn Ng: Hey, Paul. Hey, Geoffrey. Congrats on a great quarter. We have been following the progress of design and it's exciting to see how the story is unfolding. So I have a question for Paul. From our previous earnings call, we are adopting a research-based approach to market our brand of spirits. So could you give us an update on that front? For example, for Portland Potato Vodka, we are building the brand with the beach community to gain more consumer mind share. And how do we measure our progress and the success of our marketing campaigns? Thank you.
Paul Block: Okay. Well, hey, thank you for all your support. I appreciate you attending. First of all, we are continuing to research our brands. The most recent research we've concluded has been on new products, and we researched a number of concepts that led us to flavored whiskey. And we're now moving the flavored whiskey for Eastside, a cranberry, marionberry and a cherry into the market to evaluate the end market throughput and revenue. And that specific research was very positive about those flavored whiskeys in particular. We also are moving forward with an organic Azunia Margarita. That research tested very well. We're now perfecting a product, the packaging, and we have yet to move that into the market, but that will be the next step. And one of the last new products we researched has been Burnside, and that tested very well for an RTD, and we're moving that now from product concept and product development into market in the near future. The second research we conducted that's propelled us to potentially move in a different direction has been some of the packaging and positioning research on tequila. And we've looked into different packages, and we're now looking at different positioning. So that's propelled us forward. The way once we get settled down, the way we're going to manage research forward and really understand how these brands are expanding is through a brand equity matrix. So when Janet – Janet and I happen to work together, maybe, I don't know, 15, 20 years ago, and we put together a brand equity model for the spirits industry. And the brand equity model primarily looks at attribute ratings and derived attributes, which are basically a combination of attributes. Now as we get more funding, we can then move to more primary and more syndicated research, and we can then pick up on some of these attribute ratings for our brand and specifically measure the equity development. Unfortunately, money has been very tight. We've just been trying to buy material, pay salaries. But with everyone's support, now we're turning the corner, and we'll be able to do more.
Bjorn Ng: Alright. Thanks, Paul. So on to my next question, there is renewed lobbying by different interest groups to pass laws on direct-to-consumer, especially for alcoholic drinks. So if passed, how does this affect our business and relationships with key distribution channels?
Paul Block: Well, it impacts us directly because we can sell direct to consumers. It's a little bit tricky when you're in the 3-tier distribution system. But it does impact us. I'll tell you the thing that impacts us even more here in the United States is if you're following the Attorney General and his white paper on 3-tier distribution in the spirits industry. He's come out and said that it's apparent to him that a lot of the big distributors and some of those that we're even with today have been creating a monopoly and blocking small craft beverages and small craft distillers like ourselves from participating in the marketplace by taking on new products and expanding, allowing us to expand into new markets. So direct to the consumer, we're taking advantage of. We're also taking advantage of these specific clubs that we can sell directly to. But most importantly, to me, the biggest trend and the biggest influence has been around the Attorney General's view of 3-tier distribution and the monopolization that could be taking place of larger distributors. That will benefit us more than anything.
Bjorn Ng: Alright. Thanks a lot Paul for the insight. So I just got one more question on the spirit side. I was just wondering, what is the difficult markup and the industry practices? Is it somewhere between 15% to 20%, if it's okay for you to comment on that, please?
Paul Block: Sure. No. The markup is higher because what we look at is when we look at our price matrix; we look at markup and margin. And the first thing is markup and their markup is closer to 30%, 35%, and their margin is closer to 20% or 25%. So they're marking up higher. And then obviously, then they're taking their margins. So, yes, markup is – this is called 35% plus, and their margin is in the realm of 22% to 25%.
Bjorn Ng: Alright. Thanks a lot, Paul. Thanks for the insight. [indiscernible] I think I will jump back to the queue first. Thank you.
Paul Block: Thank you.
Operator: [Operator Instructions] Your next question comes from Ross Taylor with ARS Investment Partners. Please go ahead.
Ross Taylor: Thank you. Can you guys go a little deeper into how you're going to get the utilization back up in the Craft side? Are you going to, therefore, drive back higher margins? You talked about price increase and to that nature. I kind of thought of Craft as effectively a very important driver going forward. And this hiccup, obviously, is something that would seem to need to be addressed fairly quickly. Also, you talked about the ability to do printing on the cans. Can you talk about what kind of margin increase that should – we should expect to see from that? And what kind of growth we should see from that? And does that – in and of itself will that meaningfully increase demand for your mobile canning business versus just driving up the price for those that you're currently working with? Or are they value-added from any side shift, same point, from those you're working with?
Paul Block: I’ll take a quick shot, and then I'll let Geoff jump in. The margin drop-off on Craft, as Geoff said, was extraordinary. I mean, through the half year last year, the margin for Craft was 46%. And through the half year this year, it's 37%. So while there's been margin decline, the pandemic really drove it up, but we're still at pretty good margin levels. So the challenge is to maintain that 37% push it up a few clicks, get it closer to 40 through the price increase and other mitigation measures. So our position on the margin is, yes, it was disproportionately high before. Now it's probably where it should be. And we were hoping it would hang on a little bit longer. It hasn't. So switching over to printing, the printing margins for customers that would buy a can and the printers would be in the realm of that margin expectation, somewhere at 38% to 40%. So there would be no margin deterioration, it would continue to support our margin. And the one thing, the way we can – we believe we can fortify the margin and the markets going forward is to bring end-to-end solutions. So if we can offer printing, we can offer canning and in some cases, pasteurization, that would be enormous. Let me give you just one small quick example. First of all, printing is sustainable, which is huge. But secondly, a lot of these craft brewers are putting sleeves on their cans and then they're heated to shrink them. And that heat is actually altering the taste of the product. So what they can do is now they can print cans, not sleeve them and not heat them. On the other hand, some customers actually want products to be pasteurized that can't be. So for us to bring more capability, more end-to-end solutions and more of a complete package to the market, will really actually open up a bigger market to us and a bigger size of the price. So really, we're shifting from mobile craft beer to end-to-end Craft beverage. And that's a big shift, creates a new market and actually allows us to bring in, we think, more customers. The other point I'd like to make, I could go on forever, but I'll keep it short, is with mobile canning, it's really hand to mouth, right, meaning we get a customer, but maybe they don't return or we get a new customer, they don't return. We bring end-to-end solutions and we bring the printing, we can actually start to ask customers to come on for a longer-term and potentially sign a contract packing agreement. So a lot of what we're talking about has tremendous upside longer-term engagement with the customer and maintains our margin. And we'd be certainly happy to elongate on that discussion. But for today, I'll keep it brief and let Geoff chime in if you'd like.
Geoffrey Gwin: Yes. Paul, I would just say, Ross, one thing that I can – rest assured, we're not happy with how we buy cans at Craft. I mean, we're in a business where we are sourcing cans from middlemen. It's been a scramble to buy cans, frankly. And as you sometimes get a position where you're unable to get the cans, customers buy cans for themselves and they're developing their own supply chain, and you lose the opportunity to catch the margin there. And that had a big impact on the gross margin, specifically at Craft. Would that change in the quarter? You would have seen something completely different. But to Paul's point about the strategic direction of the company, this end-to-end strategy completely changes that picture. We can walk you through how literally a can is produced at Ball and makes its way onto the grocery stores, sells, and is consumed. When you think about where that can have to go, where it has to travel, the lead times, the graphic impact, as Paul was saying, later after its use, the recyclability. And I walked you through the new path that this can takes in kind of future, 2.0 of Craft Canning, it's going to look completely different, and it's going to make Craft brewers have to adapt quickly to this new opportunity with digital printing. And I'm just pleased that we're going to be on the forefront of that, and we have a great partner there. We haven't talked a lot about that, but it's transformational for Craft, and it's going to be a huge driver of the gross margin improvement that we've talked about. We said we're going to see gross margins up 50%. I don't have any doubt that we're going to be beyond that number in some near future. It's about timing and the execution between the plans there. It's about executing that now. So I'm pretty confident that we're not going to have this kind of impact on our gross margins because can pass through gross margin is not going to be that important to the company in future quarters.
Ross Taylor: Okay. So Geoff, that raises several questions. First, how many can do you need – and I'm going to ask them while I think of them because I'm between the consciousness. How many cans do you need to be using to where you can go direct to Ball or one of the other can producers? Second is, you talked the significantly greater margin, I think on a spent per share, you make a $0.01 or $0.02 a can now.
Geoffrey Gwin: Yes.
Ross Taylor: What do you end up making if you get through these things and you end up being able to do both printing? When I hear you talk about pasteurizing and you going from basically beverage to – from brewing, I take that to mean everything from perhaps wine products to ciders and things of that nature. So how big a market in your regions does that expand you to? And then also long-term contracts, how unique is what – is this technology? And are people really willing play for it? And lastly, it sounds – everyone thinks Craft is really kind of like the cool, the environmental thing to do. It's kind of the way you hit back at demand. But what you're saying is that basically, if I have currently a Craft can with a shrink wrap, I can throw it in my recycling bin, but someone has to pick that out and it's not recycled. So then the question ends up being effectively, how do you market the advantages, the environmental advantages of this technology so that myself, when I walk down the aisle and see all these super colorful labels, say, I want one, and how do I know? How am I going to know that it's actually printed on the can and not simply adhered to the can?
Geoffrey Gwin: Yes. Well, let me hit one point. So let's go back to the can number first. Paul alluded to it. I mean, we're talking about an opportunity right now to convert up to 8 million cans of existing customers. I would actually call that and say that when we look at how many cans we buy today, and we look at where we are on the CapEx plan and our glide path to what we think will be at the end of next year. I mean, we're going to be talking about changing that number by a factor of at least four. I mean, you move from – to 50 million cans, and you're not buying from a middleman. And if we're not buying from Ball and Crown directly, we're going to be the biggest importer of cans in the Pacific Northwest. And I don't think the Ball and Crown wants that. So we're here to tell you we're going to take this strategy to the Pacific Northwest, and we're going to dominate. And we're going to dominate and we're going to provide outstanding opportunities for our customers to do marketing that you have never witnessed before. And the time frame on how they execute is going to be a – I mean, it's going to be completely different from what they deal with today, which is long lead times for labels and shrink wrap products. So we can get into some more details. Some of this still has to get put into place, and we have to execute. We don't want to share too much of the strategy upfront, but this is transformational. And just to not neglect the spirit side, what we're doing in spirit, I think can be as transformational with this with some of the new products, the distribution focus that we're doing. Paul also alluded to this in his script, and I think you have to pay attention to this. We're changing distribution in Texas. It kind of speaks to what Paul spoke about with this effort for people to realize that Craft is pushing its way. And up until now, it's about resistance from distribution to take more share in Craft markets, that's going to change. And we're already seeing it start to change in some key states.
Ross Taylor: Okay, so, can you comment…
Paul Block: Let me take it..
Ross Taylor: Go ahead.
Paul Block: You know I want to take a shot at the recycling because you hit on a really big, big topic here. And the irony is that just what you said, that everybody is drinking all the Craft beers, they're all millennials, young people or relatively like you said, countercultural. And they're all for sustainability, but they're drinking out of cans that can't be recycled. So it's going to be like an Intel Inside. We'll do B2B marketing to the customers, to these small brewers. But trust me, they're going to do the marketing. And we’re going to put a small logo on there like NutraSweet did. I was in the sweetener business that says Craft recycling. We are giving – that this is our can. This is recyclable, and we have a small logo on there. And our customers are going to want to market it themselves because it's a huge benefit to their end users. And the irony is, they're not doing it now. So that alone would cause almost complete changeover in the market. So I think you hit a hot button there. We're on top of it. We'll be doing the B2B and the customers will be doing the B2C, I promise you.
Ross Taylor: Okay. And then two quick things. One, thing, you're talking about being able to increase your can utilization by 4x over the next year.
Paul Block: I'm saying that the number with what we have in the plan and what we think we can do, it's not unreasonable to see our can throughput increase by fourfold.
Ross Taylor: Okay, which is obviously powerful and meaningful even without some of these other advantages. I want to go real quick to like your – the Eastside product. They – I have to say, I don't know – they're not available back here. I've got my hands on a bottle of Bourye whiskey, and I had a friend with me, who basically, I think, took a straw and finished the bottle in about a few hours. It was an amazingly good liquor. And I'm not all right with a few drinks, and I thought it was really powerful. How do you get that product out there so that people start to recognize, honestly, really good that is.
Geoffrey Gwin: Can I jump in there real quick, Paul, and say one thing and then Paul can explain how we're going to sell it. One of the things about this company that people have started to understand is we bought a lot of brown spirits a long time ago with the view that we were going to be selling Burnside nationwide right behind Redneck Riviera whilst Ross, you know this policy of what the old strategy was going to be. We rolled out Redneck Riviera to create this pipe. And down that pipe, we're going to be selling Burnside in mass. And they built the back end of this for that, not the production, but the raw material. They bought a tremendous amount of brown spirits and not cheap stuff, good stuff. They went out and they bought brown spirits from groups that were going out of business. They bought inventory when it was available. Company sits on really important and valuable brown spirits, and we can't use it at a reasonable rate. So what ends up happening is it just gets older, right? It's aging faster than we can sell it. When people wake up to how good this product is, I think the pace of sales increase. You're seeing that with Burnside, this quarter was phenomenal. I think it was a really impressive showing. And there was nothing behind it. We just put in place Ray Wetzel, the Head of Sales. He hasn't even kind of wound up yet to throw the first pitch. So there's a lot of horsepower behind Burnside to come, and I'm excited about it. I'm excited to watch Paul drive the team and have that distribution become more clear. But it's important for people to realize that this is really outstanding spirits to start with. And it's a product that wins awards. So I think that's an important point to start with.
Ross Taylor: Yes, and even better than winning rewards I will be honest, it's just one of the hardest things to do is to spend $60 or $80 or something that you're not sure you're going to like. And so when I drank it, I first drank with some trepidation that I wasn't quit sure what I would do with it, if I didn't like it. But it was pretty damn amazing stuff.
Paul Block: Now, we've won – we've launched new products. We've launched Burnside Black, which is rye and a Bourbon Cask. We've launched an Eastside American single malt that's aged in a sherry cask. Both of those got immediate gold medals. But the way we're going to do it is dissimilar if you want to look at a story that is advanced, look at Maker's Mark because I used to work on that, and I like to make with Bill Samuels and Pickens, their master brewer. But it's word of mouth. That's how we're going to grow these brands. And the way we're going to get word-of-mouth is through micromarketing. And you don't see it on the East Coast because we can't do that across the country, we got to start concentrically. So we're starting in the west. And as we said, we're going to be starting in the neighborhoods. We're going to be starting at the point of purchase. The point of purchase is going to be our medium of communication. So when consumers walk in the store, that's where our advertising is going to happen because that's where their decision happens. And then we're going to do micro events so that we link consumer experiences with the brand experiences. And then obviously, we're going to engage consumers directly. So it's word-of-mouth and micro marketing. But we'll build these brands and we'll do it the old fashion way, like one consumer at a time, but that's why we're focusing on these key states, and you might not see it, although we will be in the East Coast but it’s not our target.
Ross Taylor: Well, I understand that I need to require patience, but I've been an Eastside shareholder for a while for patience. It's something I seem to have required.
Paul Block: We'll ship it directly to you. Just ask us and we'll send it to you.
Ross Taylor: So then expect the call in the near future. I'll let you get back to more…
Paul Block: No, problem. We're happy to share it
Ross Taylor: Thank you guys.
Operator: Your next question comes from Harold Weber with Aegis Capital. Please go ahead.
Harold Weber: Hi, guys. How are you going?
Paul Block: Great, Harold.
Geoffrey Gwin: Great. How are you?
Harold Weber: Good. I hope you guys are healthy. The – sort of what was just being asked, I wanted to get an idea of when you're going to do some kind of pilot test marketing out on the East Coast with some of these, premium products? I see the market is, what should I say, it's very open to stuff like this. I see new things coming out constantly. And I'm wondering when we're going to be able to our to brand building, maybe we could do some of that micro marketing in some regions over here. So I was wondering for you to give some thought about that. And in regards to the Craft Canning, these – I'm trying to understand this properly. This digital printing, so this is a machine that's mounted on the truck? Or this is a separate facility? How does that work?
Geoffrey Gwin: Yes, I will start, Paul and then you can jump in on the distribution. Yes, the printing that we're talking about is a digital direct to can printing technology. It's very new, however, has been well trialed, and there's not too many people in North America with this technology, and we think there's a limit to the ability to bring this technology to the market. So we're involved with a partnership to bring that to the Pacific Northwest. To your question – and it's too big to go on a truck. So thus, think of it like a can bank. We own cans, we source and print for customers and we then fold it into our existing footprint and activity. We don't think there's any other mobile operator that's going to have the technology that we have.
Harold Weber: And then you print the cans and put them under truck. Is that the idea basically?
Geoffrey Gwin: That's right. That's right.
Harold Weber: Okay.
Geoffrey Gwin: The cans are getting moved all over the place in logistics to get them to a point where we can fill them if we're not doing to shrink wrapping, the labeling. We don't do those now. We don't – we have a label, but we don't do the shrink wrapping. But to your point about moving to the East Coast, I think an important part of the strategic plan that I would encourage people to look at and think through is the focus on the Craft markets. I mean, it's really important when you think about the business in Craft brew beer, the Craft markets have really exploded. And you can go just by anywhere in the United States and see it taking hold in restaurants and grocery stores. In the case of spirits…
Harold Weber: I'm talking the spirits, the malt whiskeys, the Azunia, the potato.
Geoffrey Gwin: That's right. I am getting there and I'm sorry, I moved a little early. That's what I was going to say, in spirits, we haven't seen that yet in the sense that we don't – it's not as open, as Paul referred to earlier. There's been obstacles in distribution. However it is happening in core Craft markets. And so we and the three-year plan, have identified the core markets and one of the important things to understand is we're sitting right on top of a treasure trove of this core Craft market in Pacific Northwest and Seattle, Portland, Oregon, Colorado, parts of California, Texas. These are key craft markets where it is happening in spirits. It's starting to really take off. Same thing is happening in other eastern markets. You highlighted, it's happening in Vermont and another and main, other core markets like that. But one of the things that is different about the…
Harold Weber: Connecticut, that's really what I'm tiling about. Huge amount of people paying premium prices for this kind of booze.
Geoffrey Gwin: Yes, right.
Paul Block: You know, what, what, let me jump in. Well, look, Harold, we're really just trying to utilize our resources, which are very thin right now. And obviously, when we get the shares and Geoff does more good work with some of the credit facility, we'll have more liquidity and more availability. So we're just – but I take your point. We'll try and get to Connecticut or New York. Ray right now is just trying to deal with some of these bigger distributors. He's putting brokers in the East Coast.
Harold Weber: Yes, have it in mind that it's meaningful to pursue that at some point. Yes?
Paul Block: We're going to put it right next to your house, we're going to put a billboard up, and we're going to cover all the retail around it. So that's my – I got that on my to-do list.
Harold Weber: Okay, okay. So the – this printing scenario with the cans, how long is this going to take till it actually becomes an operational reality?
Paul Block: Well right now, probably the first of the New Year, it will be in operation, which is amazing. We're starting a planning task force. We actually just kicked it off. We had a Board meeting yesterday, the Board approved the three-year plan, the Board approved the CapEx plan, pending some of your support with the shares. And now we've put a planning task force together, and we're going to – the first thing we're going to do is explore purchasing cans, as Geoff talked, and to try and get some quantity profit going on that part of the business. We're going to look at facilities, and we're going to now make sure we get the equipment on time and that it's – we're ready to receive it. I mean that's a multi-ton operation. It takes a lot of power. And it takes a lot of planning. So we're starting as of today, and it will be operational if all things work the first of the year.
Operator: Your next question is a follow-up from Bjorn Ng with 10x Capital. Please go ahead.
Bjorn Ng: Hey, Paul. Hey, Geoff. There were some very interesting conversation earlier, I enjoyed it very much. So I have some follow-up questions on the cross as well. When we look at the prices of the aluminum cans, it has been rising because of commodity prices and especially in the ready-to-drink segment. And have we ever been – have we been able to pass down these costs down to the customers this quarter? And are we able to secure the supply of cans we need as well?
Geoffrey Gwin: Yes. I’ll hit that one, Bjorn. So we do – we can get the cans that we need. We haven't been short. Sometimes it comes at a higher price, obviously, and then we are unable to pass it through with adequate margins. So as we said in the scripts, we've passed on some price increases. Those will take hold, we'll be able to manage our margin better. But the other thing to think about, I think, on this, and it's really probably hard to see, but it will probably following into other companies. You've seen this. The logistics that are going on right now are – the supply chain trouble that's going on right now has a big impact on stuff like this. So it's not just the price of the can and raw material that's moving. But then if you have something and you immediately need to move two truckloads of cans from here to there and you get quotes on shipping and it's astronomical and it puts the price of the can up $0.02 or something and you have to heat that, build that into your margin. So it's the effective full picture of the supply chain, having enough cans on hand, having them at the right price, not having to do last minute freight and have that impact your margins. And that's what we're fixing.
Paul Block: Okay. I'd like to do something I'd like to say, without getting too deep in the microeconomics, but there's two fundamental issues happening, right? One is we're just a teeny tiny player buying these little – buying small batches of cans, which is killing us. And two, the market dynamics have been really kind of crazy. And so we know that, number one, we – if we get bigger, we have more buying power. We have more cloud. And as Geoff said, we could either go direct or we can deal with some of the big players. The second thing is the market dynamics. When about one year, 1.5 years ago, prices of aluminum were pretty – the cans were pretty stable. But all production stopped, I mean, because of COVID, whether it be lumber, if you look at lumber, that's pretty synonymous with what happened, too. It's just production just stopped. So then the price, the availability was limited and so prices started to go up. Now that was good for us in the fact that cans were limited, and we had them, so everybody came to us. But now what's happened is production started up again, cans are available, but prices are still skyrocketing. So we're going to solve the problem by becoming a bigger player and by arbitraging, carefully arbitraging the price of cans and aluminum with the price to the customers. So those, I would say, would probably be the two biggest initiatives we're going to take going forward.
Bjorn Ng: All right. Thanks for the color, Paul, and Geoff. So my second question is also with regards to cross-canning and modeling. So could you share the profitability of the different revenue mix? I know we have the can printing, the fixed can production as well as the mobile canning.
Geoffrey Gwin: I can tell you that we make the most money right now on services, as you can imagine, and consumables were – is the area that we're working on currently. When we add the new component that Paul is speaking to, it's going to have another big positive impact on margins. But I think the bigger opportunity is the synergies between all of them together. And I can't stress this enough. I mean, the ability to – for a brewer to be able to source a printed can, have it filled and the logistics around how a shortest kind of stop or less travel might help if this can is going to have to go through to get to the consumer is going to have a big impact on the ability to change how they approach their business, how they target which products to produce, how often to produce beer, with their marketing, how are they going to tie in with local opportunities there. I mean, it's a big opportunity. And it's not just beer. It's going to open the doors up to being able to serve a large number of other customers beyond who we currently call our customers. So the margins are going to be, I think, improving across the board from here. That gives me the confidence that I spoke to earlier about still achieving those significant improvements in gross margins.
Paul Block: Yes. And just to add to that, the other thing we haven't talked about, we could kind of really elaborate here quite specifically. But we're going to change our game plan. Right now we service kind of the medium market in the mobile market, but there's an opportunity to even go down to much smaller customers that are just starting out with smaller trucks than box trucks, which we're going to do. So we're going to add two or three smaller trucks, smaller lines, so we can bring in smaller customers. We're also going to look at having not so small, medium and then potentially larger runs that could be either serviced through larger mobile opportunity or the fixed facility. So we're actually going to expand, really think about when we think of end-to-end, it's not just printing, selling and packing. It's also small, medium and large. And we'll have the ability to go out and do things for customers, whether they're doing this small, medium or large run. And let's say, a brewer wants to do an October fest, instead of taking a week to run it on our mobile line, we could bring it in our fixed facility and run it in one day, print their can. So there's just – it's going to bring a lot more customers into the fold. And by having so much capability that we can uniquely offer, we should be able to command a disproportionate margin over other competitors in the marketplace.
Bjorn Ng: All right. Thanks, Paul. Thanks, Geoffrey. So just one last question from me. So in our three-year operating plan, the strategic plan, I believe, which is conservative. I was wondering if we – are we – do we project any ready-to-drink revenue inside this plan?
Paul Block: Great question. The reason we didn't put any RTD in the plan is because when we went to the Board, we really didn't have – like when you asked, are we doing market research, how are we moving forward methodically? And what are we doing? We really didn't have any products in the market or any proof-of-concept ready to go. And to be honest, the Board was digesting a lot with the whole Craft plan and the overall CapEx requests. So we said, you know what, we'll leave RTDs out of the three-year plan. But we're going to continue pushing ahead. And as we launch them in market and we have proof of concept and we have real quantitative and market results, we'll bring them forward, and we'll include them in the plan. So they're very much part of our ethos, as you could imagine. I mean, what's better than us producing RTDs and Craft manufacturing them, right? But we only want to put things in the plan that had a little bit more teeth to them. So great question. We didn't forget about them. As we do our strategic plan next year, or in fact, as we do our budget, we'll obviously be putting those type of products back in and allocating funds to them specifically.
Bjorn Ng: All right. Thanks a lot, Paul and Geoffrey. So we are very looking forward to see this three-year strategic plan materialize progressively. And I just want to say thank you all for the hard work, and have a great day ahead.
Paul Block: Yes, thank you, Bjorn. We’re happy to jump on the line and go through the three-year plan in more detail. I know you want to do that.
Operator: Your next question comes from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, guys. I'm going to ask just one question. I was interested to see that Burnside grew really well year-over-year. And I think it was you, Geoff, that said and we have – he has – and our guy hasn't even thrown out the first pitch yet, which led me to this question. How much money have you guys actually put behind the marketing of Burnside last year and this year?
Paul Block: Well, that would be almost nothing because other than digital media, it would be next to zero. And I could tell you specifically where the volume came from Burnside. Both Ray Wetzel and Janet Oak worked very diligently to get Burnside in the Taster's Club. And they took, I think 350 cases of Burnside. And then Ray really, as soon as he came in, really worked with the California distributor who didn't really – it's been difficult because there are these big, huge mega distributors and he got him to take another 350 cases of Burnside. But getting the distributors to take it and really get them to sell-through in micro market are two different things. But that's where a big part of the Burnside upside came from. But the team is so excited about Burnside because of the Burnside Black, which is a phenomenal product. We launched barrel strength Buckman, which is phenomenal. And just follow and the regular Buckman are great. So we're going to be switching now as we get money in 2022, we'll be really getting product on the floor. That's the goal. On the floor with header cards with marketing at the point of purchase. Burnside also is increasing because crazy enough we sponsor this little baseball team. I don't even think they're AAA, they're a club team called the Portland Pickles. And I don't know how many cases of Burnside we sell a night when the Portland Pickles play. You do a shot of Burnside and a Pickle chaser. And these are the kind of events. I know, hey, these are the kind of events. Side shot, I skipped the Pickle chaser. But these are the kind of events that we're going to do that are these little micro community events that allow for sampling and sell 10 cases an event. It's amazing. So we're going to be dialing it up. We've done basically nothing is the answer. And now we're going to be doing a lot. It's going to be very focused, and it's going to communicate a message that supports the product and the values of the brand.
Unidentified Analyst: Thanks, Paul. That’s helpful. Good luck. I’m looking forward to seeing what you guys can do with a little cash in the till, and it's nice to see that where 90% of the turnaround is behind us, and we're going into growth mode. That to me is the message here. Whether we get to New York, in Maine, in Connecticut, this year or next year or in two years, I really don't care. Just grow the business and do it profitably, that will make us all happy. So thanks a lot, and keep up the good work.
Paul Block: Yes, thank you.
Geoffrey Gwin: Thanks, Matt. I appreciate it.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Block for any closing remarks.
Paul Block: Yes. Well, thank you, everyone. We really appreciate it. Again, if you'd like a little more color on the three-year plan, we're happy to tell the story because we're really excited about it. I think in the back half, yes, you'll see some interesting stuff on spirits. Next year, as Matt said, we can really get some marketing on and a few extra always in our pocket and some gas in the tank. We appreciate your participation today. Call Amy if you'd like to get Geoff and I on the horn and cheers, good luck and thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.